Operator: Good day, everyone, and welcome to the Entegris Third Quarter 2012 Earnings Release Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Steve Cantor, Vice President of Corporate Relations. Please go ahead,  sir.
Steve Cantor: Good morning, and thank you, all, for joining our call. Earlier today, we announced the financial results for our second quarter ended September 29, 2012, as well as the CEO succession plan. We will discuss both matters on our call today. You can access a copy of our press release on our website, www.entegris.com. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties, which are outlined in detail in our reports and filings with the SEC. Also on the call, we will refer to non-GAAP financial measures as defined by the SEC in Regulation G. You can find a reconciliation table in today's press release, as well as on our website. On the call today are Gideon Argov, President and CEO; Bertrand Loy, Chief Operating Officer and incoming CEO; and Greg Graves, Chief Financial Officer. And with that, Gideon will now begin the call.
Gideon Argov: Thank you, Steve. Good morning. Thank you for joining the call. I'm very pleased to report another quarter of strong performance and execution at Entegris. Demand remained robust for our 28 nanometer and below filtration and wafer handling solutions. We achieved an operating margin of 18.1%, which ranks among the best in the industry, and generated another $33 million in cash from operations, further bolstering our already solid balance sheet. And we continue to sell our pipeline of opportunities with projects related to next-generation technologies, including advanced 2X and 1X node processes. In terms of revenue trends for the quarter, our third quarter sales of $184 million were down 2% from the second quarter. We're very pleased with this performance, particularly when compared against the backdrop of lower industry capital spending and decelerating overall customer fab utilization during the quarter. It is important to understand that our performance reflects 2 key aspects of our business. First, we have a diverse product portfolio that's not dependent on a single technology or single market segment. And second, we play a critical and expanding role in helping our customers ramp and achieve target yields for their new advanced processes. This is becoming even more critical as the cost of fab technology and equipment continues to skyrocket. Now looking at our revenue trends during the quarter, our unit to CapEx mix of sales remained constant at 66% unit driven and 34% capital driven. Our unit-driven sales declined 3% as growth in advanced filtration products for wet etch and clean and lithography applications was offset by declines in legacy products, as well as lower sales with specialty coatings products for the ion implant market. CapEx-related sales declined 5% despite a strong demand for wafer handling products. The decline reflected lower sales of fluid handling components and photochemical pumps related to new tools and fab construction projects. Looking at our business by market, our semiconductor-related sales represented 75% of the total and declined at 2% from the first quarter. Even as our OEM related business was weak, there were pockets of strength in terms of sales to our fab customers. Outside of the semiconductor market, our non-semi sales were down less than 1%. Sales to microelectronics markets, such as flat panel display and data storage were higher and contrasted with weakness in some of our industrial markets. Our emerging markets, including LED, Solar and Energy storage remained relatively soft. Today, I'm delighted to announce that Bertrand Loy, currently the Chief Operating Officer of Entegris will be succeeding me as the CEO of the company on the 28th of November. I've worked closely with Bertrand since I first came to Mykrolis 8 years ago, which was one of the predecessor companies of Entegris, and he was the CFO at the time. Over the past 8 years, Bertrand has successfully led a number of critical functions within Entegris, including a role as the Chief Integration Officer for the process of combining the 2 merged companies, several years in charge of the entire global supply chain for Entegris and finally, as Chief Operating Officer. During those 8 years, I've developed an enormous respect for Bertrand's business acumen, his nuanced thinking and his ability to successfully lead complex global teams. He was my right-hand person during the difficult the period our industry faced in 2008 and early 2009. He's an international executive, multilingual and fluent in the ways of the world. Entegris is fortunate to have him as its next CEO. Over the past couple of years, I've worked with both Bertrand and the board to ensure appropriate preparation and mentoring took place for an orderly and effective transition. And today, I can assure everyone on this call that Bertrand is well prepared to take the company to the next level of growth and success. For me, the past 8 years at Entegris have been both challenging and very satisfying. The Company more than doubled its size and today, it's an acknowledged industry leader in the field of contamination control for the semiconductor industry. We've met or exceeded our external financial targets for 13 consecutive quarters. Our balance sheet is in great shape, highly liquid, with over $300 million of cash and no debt. And most importantly, and this is where I've spent a good portion of my time, we have a superb team around the world, all of whom are passionate about Entegris, and most of all, about our customers. I'd like to thank every Entegris employee for their dedication and support over these past 8 years. The company is in good hands, and I will be watching its progress with great interest and affection. Bertrand?
Bertrand Loy: Thank you, Gideon. I'm excited and honored by this opportunity. I want to thank Gideon for his insightful leadership through a period of transformational change for the company. On a personal level, I'm grateful for Gideon's mentorship over the past 8 years, and for his and the board's confidence and trust in my abilities to lead this company forward, taking it to the next level of prominence in the industry. As I enter my new role with Entegris, I see a company that has clear path and strategy to grow, that is a market and technology leader and that is positioned to be an even more important and critical supplier to our customers. The Entegris team has built a successful platform, and we are leveraging that platform with a commitment to innovation that supports our customers in a fundamental and strategic way, by helping them improve their yields and advance their manufacturing processes. We are making the investments today to solve the most difficult challenges facing the semiconductor industry and enable process node transitions to 2X and below, as well as EUV, 450, 3D, advanced materials and other disruptive technologies. I can tell you that our current level of engagement with the industry trendsetters is unprecedented in the company's history. In the near term, we are clearly seeing a period of softening for the industry. But we believe this softening will be short-lived. We are very accustomed to industry cycles, and we have implemented a very flexible business model to allow us to effectively manage through these cycles. We expect to continue to meet our quarterly target financial model, and we will do that without jeopardizing our critical R&D projects and investments. These investments will allow us to expand our technical leadership in our markets and now the [ph] foundation for growth well into the future. As I look beyond the near term, I am truly excited about our future. Growth in the global semiconductor and microelectronics markets are continuing to be driven by mobile computing and access, as well as the infrastructure to support it. Our role in this supply chain is growing in importance as is the value of our technology and solutions in helping our customers adopt and implement ever more complex manufacturing process technologies. I will now turn this over to Greg for some comments on the financials. Greg?
Gregory B. Graves: Thank you, Gideon and Bertrand. We are very pleased with our third quarter results, particularly given the softening industry environment. We continue to execute very well, as we achieved an adjusted operating margin of 18.1% and non-GAAP EPS of $0.16. Sales for the Contamination Control Solutions division, or CCS, declined 8% sequentially to $112 million, as continued strength in advanced filtration sales to device makers was more than offset by weakness in component and subsystem sales to OEMs. CCS third quarter operating margin of 24% was down from 28% in Q2, largely due to the lower sales volume. Sales for the Microenvironments division grew 22% sequentially to $54 million on higher sales of advanced FOUPs and strength in 200-millimeter and below process products. ME's operating margin of 31%, which was favorably impacted by strong manufacturing performance and higher volumes, was also boosted 4 percentage points by one-time payments related to 2 licensing agreements. There's no other way to say it, the ME team had an absolutely stellar quarter. For the Specialty Materials division, sales were $17 million, down 16% from Q2. The decline in sales was primarily due to weakness in specialty coatings used in semiconductor applications, an area that had achieved near record revenue in Q2. Largely as a result of product mix in the lower volume, Specialty Materials' operating margin declined to 12%. Geographic mix of sales was largely unchanged from the second quarter. Asia represented 39% of sales; Japan, 18%; North America, 29%; and Europe, 14%. Third quarter gross margin improved sequentially to 44.5%. The margin reflects strong performance across our manufacturing operations, especially in light of the lower volumes, and a 1.4% benefit related to the ME licensing agreements previously discussed. Excluding amortization of $2.4 million and a $3.9 million onetime charge, Q3 operating expenses were $48.5 million, which was at the low end of our guidance and essentially flat with Q2. Spending level reflects higher spending on R&D, offset by lower variable compensation and tighter spending controls in SG&A, due to the industry weakness that became apparent during the quarter. For Q4, you should expect OpEx to be approximately $47 million to $49 million. Our tax rate for the quarter was 30%, which was lower than the Q2 rate of 33% and reflects a more favorable geographic income mix. For Q4, we expect our tax rate to be 30% to 34%, which is consistent with our year-to-date rate. We generated $33 million in cash from operations. With respect to working capital management, DSOs improved slightly to 55 days, and inventory turns were 4x. Depreciation expense was $7.3 million in Q3. CapEx in the quarter was $9 million, which related primarily to the investment in our i2M Center for advanced membrane surface modification and coating technologies. While this initiative is proceeding on track and the total amount of the expenditures has not changed, the timing of this spending has shifted from late Q4 into early 2013. For the full year of 2012, we now anticipate CapEx will be approximately $50 million to $60 million. This is substantially higher than our capital spending in recent years of $25 million to $35 million, but is lower than the $70 million of CapEx for 2012 that we had planned. We ended the quarter with $316 million in cash and short-term investments, an increase of $29 million from Q2. In terms of our outlook for the third quarter, the environment is uncertain and we continue to see signs of weakness in our industry, particularly with respect to capital spending. As a result, we expect Q4 sales to be $160 million to $170 million. Given this sales level, we expect our non-GAAP EPS to be $0.10 to $0.12. This EPS is consistent with our target model. In summary, we are pleased with our Q3 performance. Specifically, we achieved our target model for the 13th straight quarter. We continue to generate strong cash flow and deploy that cash flow to grow the business. With $316 million in cash and no debt, our balance sheet is as strong as it has ever been. Our Contamination Control and material handling products continue to become more critical to helping our customers achieve their yield targets in next-generation fabs. Finally, on a personal note, I'm grateful for the opportunity to work with Gideon, who I consider a friend and excellent leader. And I look forward to continuing my close working relationship with Bertrand, a leader with an outstanding combination of drive, experience and intellect. With that, I will turn the call back over to Steve.
Steve Cantor: Before we take your questions, I want to remind everyone that our practice is to maintain timely and transparent communications with all our investors, and we intend to continue that practice. The management team will have opportunities to meet with investors during conferences and on deal roadshows over the next weeks and months. For this call, I do want to ask that you limit your question to one per firm and a brief follow-up, so we can get to everyone's questions. And we will be happy to take additional follow-ups after that as time permits. And with that, operator, we'll now open it up for questions.
Operator: [Operator Instructions] And we'll take our next question from Terence Whalen of Citi.
Terence R. Whalen: I wanted to pass on my congratulations to both Gideon and Bertrand as well this morning. So the first question is a little bit of a higher level question. You mentioned that you've changed capital planning to $50 million to $60-million level this year, and pushed what would be 4Q projects into early 2013. Can you elaborate specifically on why you're doing that? Is that related to perhaps one customer's planned installation delays, or is it more broadly reflecting the general environment that you're anticipating here into the first half of 2013?
Gregory B. Graves: This is Greg. With regard to CapEx, I mean, it's really not a change in our planning. I mean, if you think about our CapEx broadly, we're typically kind of a $25 million to $30 million a year of annual CapEx. We've got these 2 very large projects, the New England initiative where we're building the advanced membrane operation and then the 450-millimeter project. Those 2 projects combined are approximately $75 million in CapEx. As we move those 2 projects forward, there's a number of, I'd say, major pieces of equipment and major components of the project that are just -- the timing of the expenditures are just moving from Q4 to Q1. And so what will end up happening is, we'll have a lower CapEx number this year, and the CapEx number next year will be higher than we would have initially anticipated. So no change with regard to overall capital spending plans, not doing anything because of a slowdown in the industry or anything specific with regard to one customer. It's really just a timing of major equipment purchases and when those -- if that equipment will be delivered.
Terence R. Whalen: Okay, that's helpful. The second question is a little bit of a higher level question on the Contamination and Control business. I was wondering if you could help us understand perhaps the growth potential for filtration specifically, in between say, 35 nanometer to 28 nanometer to 20 nanometer. What's your expectation for the TAM growth that you'll see in an installation at 28 nanometer and at 20 nanometer. I'm just trying to understand if there's any increase in intensity beyond overall equipment spending for those nodes?
Bertrand Loy: This is Bertrand. This is a great question. This is also a very difficult question, and one that a lot of our team members are trying to answer as we speak. As you know, there is a lot of activity right now, working very closely with the process technology development teams of all of the major device makers. And we are really in the final stages of fully understanding the magnitude of the potential of those new features, and really fully understand the types of benefits that our customers are seeing as they use those advanced filtration in 2X and 1X nodes. So I would just say with you that we believe that both our TAM and our market share will greatly benefit from the advancement of the fab process technology nodes past the 2X node. But I'll leave it at that. And I certainly will commit to having something a little bit more specific and a little bit more quantified as we present to you in our next Analyst Day in New York during the springtime.
Operator: And we'll take our next question from Patrick Ho of Stifel Nicolaus.
Patrick J. Ho: First off, congrats to you, Gideon, for a job well done repositioning the company, and best of luck going forward. And Bertrand also, good luck on a going forward basis. Two questions for this earnings call. One, can you just give a little bit of color in the general makeup of revenues for the December quarter? Are we going to see, at least on a percentage basis, a return to what I would characterize more normalized levels of higher percentage of the Contamination Control business? Maybe a follow up on the Microenvironments giving that it's coming off of a strong quarter? Can you just give a color on that?
Gregory B. Graves: Yes, Patrick, I would say it's pretty much exactly as you described it. I mean, obviously, with Microenvironments having a $54-million quarter, I mean, that's kind of a high watermark for them that we would expect. And when we talk about the decline, that will be the biggest percentage decliner in the quarter. And it's not a function of particular weakness, just we had a combination of licensing arrangement and very strong FOUP sales in the quarter.
Patrick J. Ho: Great. And second question on my end in terms of, again, maybe looking at the industry as a whole and the transition of 450-millimeter wafers, you guys are spending a lot on CapEx. That is something that's coming eventually down the road. Given some of the recent announcements and the investments by the some of the key chip makers, particularly Intel and ASML, how do you see, I guess, the trend and the progression towards 450-millimeter wafers? And have you needed to accelerate your development post these type of announcements?
Bertrand Loy: Our strategy has always been to be the leader in sense of developing both the process carriers, as well as the wafer shippers required for the industry as it transitions to 450-millimeter. But we've done that by engaging directly with the device makers, the wafer growers, but also being very active with all of the consortia being involved in the process. So I would say that we have been at the forefront of that effort. We remain at the forefront of that effort, and every news that you read around potential acceleration of the adoption of 450 as the next wafer size for the industry is good news for us. But we've been ready and planning for a quick adoption of 450 and we are in a very good competitive position as we stand today.
Operator: [Operator Instructions] And we'll take our next question from Krish Sankar of Bank of America Merrill Lynch.
Krish Sankar: Congrats Bertrand, and good luck Gideon. Two quick questions from my end. One, is if I look at the December guidance, the midpoint is down 11%. How do we think about the consumables in CapEx business relative to that midpoint in Q4?
Gregory B. Graves: The greatest weakness in the business, Krish, is clearly on the CapEx side at this point. So we would expect the CapEx to be down slightly more than the units side of the business. But I mean, our mix has stayed pretty consistent in that kind of 65, 35 range, but in terms of broadly speaking CapEx should be weaker.
Krish Sankar: Got it. And then another question on the longer-term. When you look at the wafer shipping market, when is that going to 450-millimeter? What kind of ASP payment do you think you'll get when you go from the current, like $100 give or take, for 300-millimeter shippers?
Gregory B. Graves: You're essentially asking the question, pricing on a 450-millimeter shipper versus a 300-millimeter shipper. Is that the gist of it?
Krish Sankar: Yes, that's right.
Bertrand Loy: Again, I mean, the pricing for 450-millimeter shippers and process carriers would be an order of magnitude greater than what we are currently selling the 300-millimeter solutions for. Right now, a lot of our sales are of relatively small quantities. So I don't want to be speculating as to what the pricing will be as we reach higher volume sales. But again, the overall pricing for those products will be greater than what we've been selling the 300-millimeter solutions at.
Gregory B. Graves: And Krish, if you think about 300 versus 200 for instance, I mean the price of a shipper, I mean the price of a square-inch of silicon chip for us, is clearly higher at 300. And we think it will be higher again at 450 in terms of price per square-inch shipped.
Krish Sankar: Is it fair to assume it will be in the thousands, was it hundreds or...
Bertrand Loy: Krish, could you repeat your question?
Krish Sankar: Sorry. Is it in the thousands versus hundreds of dollars?
Gideon Argov: It depends what the product is, Krish. I think Bertrand's answer pretty much sums it up. It is an order of magnitude greater pricing. The product is more complex. It has different materials in it. If you look at it, it's like 4x as big. All those things together, it's a pricier product for all those reasons. And in order of magnitude, it's about as close as we can give you today to what that would be.
Operator: Our next question comes from Christian Schwab of Craig-Hallum Capital Group.
Christian D. Schwab: Gideon, good luck on your next endeavors. Great job here. Bertrand, I just want to follow up on your prepared comments where you stated that you thought the softening in the industry conditions would be short lived. Can you give us some data points that -- why you believe things will get better before they get worse?
Bertrand Loy: Well Christian, again, what we said is that our business environment remains pretty uncertain right now. So as we enter Q4, we certainly expect fab utilization would be [ph] to remain slow, all the way until the end of the year. In terms of CapEx, again, CapEx is really very unclear at this point. I think there is clearly a view out there that we could see some increase and some rebound in front-end equipment sales early in 2013. But I would say it's a little early to tell. Now in our business, the signs that we are looking for are really new fab facetization. So fab hook-ups and projects of that nature. And what I would tell you is that we've seen a low level, a low watermark for those types of projects and activities in Q3 -- in Q2 and early Q3 of this year. And we are seeing a modest, but an acceleration of those types of projects as we get into Q4. So those signs are precursor to the real momentum in terms of CapEx. I think it's too early to tell. But that could actually substantiate the views that we could see actually some positive momentum in terms of CapEx as we enter 2013. But as I've said, I think it's too early to tell.
Christian D. Schwab: Right, so maybe the Contamination Control systems business kind of rhymes next year like it did, I would say, with the past few years where the first half is relatively strong and then kind of fades in the back half of the year. So if the economic conditions don't worsen or slightly stabilize to improve, it's not unlikely for that business to begin to see a recovery in the March quarter, is that fair?
Bertrand Loy: Again, it's way too early for us to provide a forecast for Q1 or for next year. And again, in a slow environment like the one we are facing today, what we do and what we always do is really to stay very focused on our strategic and critical customers. We engage with them to work on the development of their next technology platforms. And frankly, there's a lot of activity going on at that level, and we really like our prospects, in terms of the next generation tools and the next-generation fabs. So that's really is what is within our control. And that's what we will be focusing on over the next couple of quarters.
Christian D. Schwab: And just one last question, if I may. How long before the front-end tools are shipped will you begin to see an order recovery in fluid handling  that would represent a recovery of new tool shipments? Will you see that in typically a quarter ahead of their shipments or will it be a little bit less visibility than that?
Bertrand Loy: Typically, 2 to 3 months. So we don't have really a lot of advance visibility. And that's why we are a little tentative in our description of what Q1 of next year could look like. We just don't have that level of visibility in August, traditionally.
Christian D. Schwab: No other questions, and congratulations on a promotion well deserved.
Operator: [Operator Instructions] And we'll take our next question from Avinash Kant of D.A. Davidson.
Avinash Kant: Congratulations to Gideon and Bertrand. I had a longer-term question actually, and then a quick follow-up on that. The longer-term question I have is that of course, for some time the company has been quite focused on improving the balance sheet. That was the big broad goal, and of course, and winning market share in some of the markets that you had lost in the past. Now for Bertrand, what will be the big transition that you would be focusing on going forward?
Bertrand Loy: First of all, thank you for your kind words. Again, give me a little bit of time. I'm just promoted to this role a few hours ago. I just would want you and the rest of the audience to remember that I've been working very closely with Gideon and Greg for the past 4 years to develop our strategic framework. And the strategic direction of the company has been very successful, and the execution and the quality of execution has been very strong. So I don't think there is any real need for any major change in our trajectory and in the midterm. In other words, we will continue, as you very well articulated Avinash, we will continue to maintain a strong focus on superior growth and on superior profitability. Our growth strategy will continue to focus on expanding our FAM and increasing our market share, both in our core semi markets, as well in a number of carefully selected adjacent markets. And we will continue to partner with industry leaders, as we have for many years, and maintain our strong commitment to innovation to enable the fabs of the future. So that's what we've done. That's what we've done very successfully. And in other words, I would say that in my opinion, my first priority will be to continue to maintain and accelerate the momentum that we have been creating over the last 4 years.
Avinash Kant: One near-term question, though. Could we get an understanding of what was the mix of business based on your customers like foundries, logic and memory, and what are the mix of business in the quarter or what do you expect -- any way you break it up, maybe second half or this year?
Gregory B. Graves: So Avinash, I mean, for us we're relatively agnostic, foundry, logic, memory. We really don't break our business down that way. What I would say is we saw, on a relative basis, we saw strength in our business with the large device manufacturers. This was driven by a combination of capital-related items, FOUPs and process products, but also strength in some of the advanced filtration applications. And we saw the greatest weakness in our business with the large OEMs.
Operator: And we'll take our next question from Jason Ursaner of CJS Securities.
Jason Ursaner: Just first question for Bertrand. How do you see your day-to-day role in the company and your touch on the next-generation process developments changing, as you step out of the COO role? And as Gideon had mentioned, you had been at Mykrolis prior to the merger with them. And there remains some perception that, that business and the culture of that side of the company had been more active as a capital allocator. So as you -- you're in a very different financial position heading into this potential downturn. So specifically, what's your view on the cash buffer that the company has discussed previously? And on future developments, do you have higher expectations for internal investment and achievement in areas like 450 and EUV versus the need to look externally for growth?
Bertrand Loy: Well, that's a long question. I'm going to try to break it into pieces and probably ask for some help from Greg here. But you're right, from the chair I sit, I certainly like the strength of the balance sheet. We have in excess of $300 million on the balance sheet. And I would tell you that given the amount of uncertainty in terms of macroeconomic environment, the industry environment, and because of a number of very strategic investments that we will be funding over the next 12 to 18 months, I certainly do not view the current cash level as being excessive. So that would be my first statement. So I think that in terms of the longer-term cash allocation, I would say that we are in the process of reviewing our strategic directions. We will be engaging with our Board of Directors sometime in December. And review, as we usually do every year, the options available to us. And if we were to decide any change in prior directions, we would communicate that to you at that point in time. But as of right now, again, my view is that we don't have any excess cash. And I feel, actually, pretty good about the quality of our balance sheet. In terms of capital allocation across business opportunities and divisions, I will, as I move into the CEO role, I will stay very close to the business. I do not intend to replace myself. And therefore, I will be managing the organization with a much flatter structure than what used to be the case in the past. So I will stay very close to the business. I intend to stay very, very close to all of the exciting opportunities that we have at all of our major critical customers right now. So that will not change either. Greg, I don't know if there is anything that you feel you should be adding?
Gregory B. Graves: No, I think the only comment, I think Jason, you said, the internal growth initiatives versus external growth initiatives. I think by that, I think, you meant M&A. I think we'll continue our relatively cautious stance on M&A. I mean, we are more active today than we were 18 months ago. But there's certainly nothing imminent. I wouldn't expect to hear us say our M&A is not part of our strategy because it will continue to be part of the strategy.
Jason Ursaner: Okay. And you guys mentioned that unit-driven sales were down only 3%. There's various negative commentary on the CapEx and equipment side. But is the split on you're seeing on the front end now that's driving the low revenue guidance, is it similarly skewed to the CapEx side, or are you also seeing it at all on the replacement side with lower fab utilization in response to changes in expectations from your customers for the holiday sell-through?
Bertrand Loy: It's a little bit of both. We certainly expect fab utilization. What we saw first of all in Q3, is we saw a strong beginning of the quarter and then a softening in terms of fab and capacity utilization in the second part of Q3. We expect most fabs to continue to operate at this level. So what we saw essentially in the month of September, and we expect that those levels of fab capacity utilization to remain relatively constant through the end of the year. In terms of our CapEx business, as you remember, we have different types of products that we label as CapEx. One would be all of the component end systems within the CCS division. And that's mostly driven by our OEM business and sales to the OEM customers. We do not expect that business to decline any further. But we expect our FOUP business to soften. If you remember, when Greg mentioned that in his prepared remarks, our FOUP business recorded a new record, in terms of quarterly sales in Q3. And given the expected business environment in Q4, we do not expect this record to be broken in Q4. So in other words, we would expect our FOUP sales to be lower in Q4 than what we recorded in Q3.
Jason Ursaner: Okay, and if we look at things like the book-to-bill 3-month average, I mean, is that the type of read-through to Q4 division revenue for that kind of product that we should take away?
Gregory B. Graves: Can you restate that question Jason? I didn't quite follow it.
Jason Ursaner: Just on the CapEx side, if we look at industry data points like the semi 3-month book-to-bill average, it dropped pretty hard last reading, which indicates that the latest month really fell out of bed. I guess I'm wondering, is that the type of read-through to the Q4 division revenue on things like the FOUP that we should be taking away?
Gregory B. Graves: Yes, I mean, I would say our quarter, Q3, I mean reflected, it was stronger in the front half than in the back half, which is what gives us the caution really going into Q4. And that would not -- the weakness that we saw in the back half is really not inconsistent with the book-to-bill commentary that you made.
Jason Ursaner: Okay. Gideon, I know you took a lot of heat for how the company was positioned going into the most severe downturn. Some warranted, some clearly not. But it was truly a pleasure working with you. And Bertrand, look forward to seeing how the company, under your tenure now, will take advantage of the various industry trends going forward, so congratulations.
Operator: [Operator Instructions] And we'll go next to Jairam Nathan of Sidoti.
Jairam Nathan: Congratulations Gideon and Bertrand, and good luck going forward. My question was with regard to the cost structure. I was just -- and if I look at the incremental or the contribution margins this quarter, they were kind of in that 70%, 75% range on the operating margin. And I was just wondering, do you see any opportunities on cost reduction here, or do you consider the slowdown being a more temporary kind of on terms or you don't need to reduce too much cost here?
Gregory B. Graves: Okay, so I have 2 comments. One with regard to -- we did a very good flow-through if you will, on the operating margin. But recall, we also had a very favorable benefit related to the Microenvironment licensing agreements that I referred to. That had about a 1.4% impact on the flow through. So I would -- I just want to plant that seed. With regard to the cost structure, what we're doing today is we're watching the discretionary costs very closely. We're asking people to be very careful on discretionary costs, use of contractors, travel, those type of things. What we're not doing is cutting back on our ER&D spending around our major initiatives or our capital spending around our major projects. And we do view this is as relatively short-lived. And so today, what we're doing is, like I said, is really tightening up on the variable costs, we're flexing down in our factories and the types of things that you would do in a normal slowdown.
Jairam Nathan: Okay. And I just had a quick modeling follow-up. It looks like the other expense line went up quite a bit. I was just -- is there anything particular in that?
Gregory B. Graves: The other expense and typically, not just this quarter, but every quarter, relates to the impact of currency and with the relatively -- essentially the currency of our non-dollar-denominated assets outside the United States. So the way the dollar moved this quarter, we ended up taking a hit with regard to that. And so that line is probably the hardest line to predict on the P&L. But I would -- when I model it internally, I think about it as flat. I mean, I'd model it as 0.
Operator: And we have no further questions at this time. I'd like to turn the conference back over to Mr. Gideon Argov for additional or closing remarks.
Gideon Argov: Thank you very much for the call. And the Company will continue to keep you updated on its progress. Thanks, again. Have a good day.
Operator: This concludes today's presentation. Thank you for joining, and have a nice day.